Operator: Good evening. My name is Selina and I will be your conference operator today. I would like to welcome everyone to the Planet Labs PBC Quarterly Earnings Call. At this time, I'd like to turn the call over to Chris Genualdi, Vice President of Investor Relations for Planet Labs PBC. Please go ahead Chris.
Chris Genualdi: Hello and welcome to Planet's fiscal fourth quarter and full year 2022 earnings call. Before we begin today's call, we'd like to remind everyone that we may make forward-looking statements related to future events or our financial outlook. Any forward-looking statements are based on management's current outlooks, plans, expectations and projection. The inclusion of such forward-looking information should not be regarded as a representation by Planet that future plans, estimates, or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions as detailed in our SEC filings, which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made or to reflect the occurrence of unanticipated events. During the call, we will also discuss non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operational decision making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this afternoon. Further, throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release. At this time, I'd now like to turn the call over to Will Marshall, Planet's CEO, Chairperson and Co-Founder. Over to you, Will.
Will Marshall: Thanks Chris and thank you everyone for joining our call today. I'm excited to talk to you about Planet's results, outlook, and to give a few insights into the business generally. Let me start by going directly into a quick summary of our results which are strong across the board. For the fourth quarter, we continue to accelerate revenue growth and as you'll hear momentarily, we expect this growth inflection to continue into fiscal 2023. In the full year, fiscal 2022, we achieved a record $131.2 million in revenue coming in just above our projected range. We expanded non-GAAP gross margins to 38%, up from 24% last year. We also increased our customer count to 770 unique customers by the end of the period. I'm incredibly proud of these results and of the execution and dedication of our team demonstrated in the last year. I'm excited about the how this positions us in this burgeoning market and our overall strength as we move into the next fiscal year. As this is only our second official earnings school, I wanted to step back and reiterate some critical points that we shared our Analyst Day last autumn, all of which I believe are fundamental to understanding our business. Firstly, Planet is a data subscription business based on a uniquely of 200 Earth imaging satellites, whose data and business models are new to the market. This data business is a one to many business enabling us to rapidly scale to many users, driving both high growth and high margins, as just mentioned, as we saw last year. Secondly, our data is valuable to many vertical markets from agriculture to mapping from civil government to defense and intelligence. And so we address a large and diversified market opportunity and we'll give some examples shortly. And thirdly, we have a significant lead in the market due to our unique daily scanning system and we expect the compounding effects of our historical data and initiatives development process will enable us to continue to gain share and extend our lead. Broadly, our constellation and its supporting infrastructure already built and proven. Remember that while Planet is new to the public markets, we spent the last decade establishing the core infrastructure of our business. And we're now we are well capitalized. And so we are now working on reaping the commercial rewards of the data we produce, and investing in high ROI activities to meet our growth objectives. With the proprietary data we collect and the services we deliver on top, we enable our customers to make smarter, more informed, and faster decisions on fundamental aspects of their business, including allocating resources, making impactful investments, measuring sustainability goals, or improving strategic planning. Recent events have only underscored the increasing need for Planet's data, none more so than the situation in Ukraine. We are horrified by what is happening and deeply concerned by the worsening humanitarian crisis and Planet has been helping in multiple capacities. First, we have been proud to help our government partners track the build up around Ukraine and subsequent operations within. In addition, we have been supporting relief and humanitarian organizations in support of their work with refugees and emergency suppliers. And finally, when appropriate, we have been providing imagery to news media to illuminate events for all to see. That has moved quickly to meet the needs arising from the situation in the region, we have delivered weekly base maps of the entire Ukraine, partnering to provide analytics of changes on the ground and making rapid improvements in our systems, some of which, for example, have driven substantive increase in our tasking capacity over the region in just a few short weeks. Our significant revisit rate and our improved capacity have been a critical value to the users in this time of need. Our fast response to the crisis has driven several new important customer engagements and partnerships and with some of the shortest sales cycles we've ever seen. It's been very hard work for our teams, but they are motivated because the circumstances demonstrated how incredibly important their contributions are. This is what we're here for, and why we're proud of the work we do. Stepping back from recent events, we had mentioned previously that Planet Solutions are foundational enablers to the largest economic shifts of our age, the digital transformation and sustainability transformation, both of which are top priorities across government and companies globally and they provide significant tailwinds for our growth. We are critical to the pressing challenges the world faces today, enabling a sustainable Planet and fostering peace and security. I'd like to take a moment to share a few recent and specific examples. We've mentioned before that are businesses roughly weighted equally between commercial and government, and even within the government portion roughly equally between civil government and defense and intelligence government use cases. Let me touch on all three of these. On the civil government side, we already have great partners and we continue to see significant expansion of our NASA partnership. They are doing incredible work with their data. I recently saw a plot of their usage and it is truly global. And they help with a variety of scientific studies including climate change, biodiversity loss, and changing ecosystem. And these work often develop use cases that are then enable us to drive commercial applications. Another great example I would like to share is our partnership with the Country of Wales. This contract has grown from a five-figure deal in fiscal 2021 to a seven-figure deal last year and expanded once again, this past quarter. The world's [ph] government uses PlanetScope, SkySat, and Fusion Solutions to address a variety of use cases including natural resource management, mapping, and policy implementation and measurement. This partnership exemplifies the broad use cases that are addressable with our data by civil government. On the defense and intelligence side, as mentioned, we have several important customers and partner engagements underway. We are seeing opportunities for upside from this vertical as our revisit rate and capacity optimizations have enabled us to expand our market share. On the commercial side of our business, we continue to see an increase in customer usage, driven by solutions, for example, in agriculture with the recent acquisition of VanderSat. We are able to measure and forecast crop yields using geospatial data on soil moisture, land surface temperature, and vegetative water content. With these new indicators, we estimate that we can increase the yield forecasting for crops such as corn, wheat, soybeans, coffee, cocoa, and others by as much as 84% to 94%. VanderSat has also enabled us to expand into a new vertical market, namely insurance. To give one example here, Swiss Re, which joined the with its local insurance partners is using tenant data to ensure farmers against drought in parts of Europe and Central Asia. Continuing the trust of engagements in new vertical markets, let me turn to a market with great potential for Planet, Finance. We recently signed a deal with SynMax, a data science solution provider for both energy and maritime intelligence markets. This dual use contract will be used to forecast trends in the oil and gas market as well as tracking several dark vessels carrying out illegal activity at sea. These are just a few of the ways we are leveraging our incredible dataset to meet the demands of our customers around the world in both existing and new markets. With that, let me tell you about some of the recent product developments. On January the 13th, we successfully launched 44 SuperDove satellites onboard SpaceX's Falcon 9 rocket, increasing the number of our next generation satellites in orbit that provide enhanced sensor capabilities. Bolstered by the sensor improvements and our investments in software, on March 1st of this year, we announced the general availability of our next generation of PlanetScope monitoring, offering high quality analysis ready data to all existing PlanetScope customers across eight spectral bands, doubling that of the prior generation of satellites. These additional spectral bands enable greater capabilities in water quality monitoring, land cover classification, and more. This is technology needed to address the food, resource, and environmental challenges faced globally. We expect the improvements that we've been making in our -- to our PlanetScope Monitoring platform to drive shorter sales cycles and new customers and increase net retention rates. Furthermore, we continue to see growing market demand for high resolution imagery up to 50 centimeters per pixel generated by the SkySat constellation, which is able to image the same place anywhere on Earth up to 10 times per day. Given our increased customer demand generally and our recent competitive win in particular, we remain excited about this segment of the market and are making progress against the development of our next-generation of high resolution satellites to capture this growth. We call it Pelican which is designed to deliver substantively greater capabilities at yet significantly lower cost than the current SkySat fleet. We'll have more announcements about this in the coming weeks around the GEOINT Conference. To round out the discussion on our products, I want to say how pleased I am with our recent investments in our software teams, resulting in dramatic improvements in performance and usability of our customer facing tools, as well as optimization of image quality and delivery. As just one example, we have doubled the number of orders being fulfilled by our SkySat fleet in the past year to operational and tasking improvements. And these improvements have had real impact to our customers. Our fourth quarter customer survey showed 180% improvement in our overall net promoter score NPS and 100% increase in responders. We have historically scored well for our large customer accountants and last year achieved the best-in-class score of over 80 for our million-dollar plus customers. But with our recent investments in customer success and technology enablement, we've also driven improvements with our smaller accounts, those less than 50,000 increasing on average 17 points each quarter last year. It's great validation, these investments that we're making are driving real value to our customers. Overall, on a year on year basis, our sales and marketing headcount and software engineering headcount both increased over 40% last year. As shared previously, these are two areas that we expect to continue to invest in going forward. They are important to the success of building a highly effective, easy to use software solution, working in new markets, and educating customers and prospects on the value that Planet delivers. In other words, these investments are fundamental to our growth rate acceleration. We also expanded our Space Systems team by over 25% As we develop our next generation platforms for high resolution and hyperspectral imaging satellites are both critical for the understanding of changes across our planet and meeting the market demand that we are seeing. We wouldn't be here without the incredible talent that has built this company over the last decade. We are thrilled with the talent that we continue to attract the Planet as we invest across the organization. While it has been a challenging market for employers, we believe that Planet's commitment to the mission, our significant technology and market leadership, as well as the strength of our global organization make Planet a unique place to bright minds to contribute their skills. Looking forward to fiscal year 2023, we are anticipating continued revenue growth acceleration due to market demand and our execution. Indeed, as you will hear from Ashley shortly, we expect our revenue growth rate to accelerate to approximately double or triple last year's growth rate, a dramatic uptick. To meet this demand, we are making significant investments in sales and marketing software and space systems. To continue to capture share in new vertical markets, we are investing behind our VanderSat acquisition and other areas of software development. And just to give you a sense, we anticipate growing our headcount and the software organization by over 50% this coming year. In addition, given the criticality of our high resolution data in our core vertical markets, we are investing behind our next generation fleet of pelicans. As always, we take a disciplined approach to investing in future growth initiatives such as Pelican, and our agility enables us to scale our investment commensurate with the market demand. And as we scale, our strategy is more and more about optimizing our existing infrastructure, all of which investments are very high ROI. Before I hand it over to Ashley, I'd like to emphasize that I'm very confident in our market opportunity and Planet's positioned to meet this global moment. Across the world, companies and countries are seeking to uphold their sustainability commitments. Countries seek to understand the activities within and around their borders and global supply chains need to better understand the changes occurring in all parts of the world. This is why we're forecasting such dramatic acceleration in revenue growth. I'm proud of the work we're doing, confident in our team, and excited for the years ahead. With that, I'll turn it over to Ashley, after which, we'll have some time for Q&A.
Ashley Fieglein Johnson: Thanks Will and good afternoon. I encourage everyone to also reference the slides we've posted on our Investor Relations website, which are intended to accompany our prepared remarks. As Will mentioned, capping a remarkable year for Planet, our revenue for the fourth quarter of fiscal 2022 ending January 31st, came in at a record $37.1 million, which represents 23% year-over-year growth. Topline growth has been accelerating and we expect the investments that we're making across the business to continue to drive that acceleration going forward. For the full fiscal year, revenue came in at $131.2 million, slightly above the outlook we provided throughout last year, despite the suspension of our contract with the former government of Afghanistan, and the delay in timing for the U.S. government's EOCL award. Our sales and customer success teams are executing well, landing new accounts across all verticals and driving improvement in Retention and Expansion with our existing customer base. We're excited by the increasing market awareness for the value of geospatial data and the growing commercial opportunity ahead of us. Our end-of-period customer count grew to 770 customers, which represents 25% year-over-year growth. Our customer base spans a wide variety of industries, including customers highlighted by well, like NASA, the Welsh Government, Cinemax and Swiss Re. I shared with our analysts day last September. Customers who represent over $1 million in annual contract value comprise our fastest-growing customer segments growing 38% year-over-year, driven by both new accounts landing at these levels and existing customers that expand into the cohort. These customers span both the commercial and government sectors. Last year, we established a global strategic accounts team specifically to partner with and grow our large commercial customers and we are very pleased with the traction this team has accomplished already. Our relentless focus on retaining and growing our customer accounts is an important part of our growth strategy. We closed fiscal 2022 with a net dollar retention rate of 108% and 116%, including winbacks. We're especially pleased with this result, because the metrics include the impact of the suspension of the Afghanistan engagement I referenced earlier. If we were to exclude that contract from our metrics, then our net dollar retention rates for fiscal 2022 would have improved on a year-over-year basis. Our goal is to drive our retention rates even higher through investments and global customer success, shortening the time to value to our customers, increasing the ease-of-use of our solutions and ultimately making Planet's platform even stickier than it is today. Turning to gross margin, we expanded our non-GAAP gross margins to 42% for the fourth quarter of fiscal 2022 compared to 25% in the prior year. For the full fiscal year, non-GAAP gross margins expanded to 38% compared to 24% in fiscal 2021. The continued expansion of our gross margins is driven by the growth in our topline, the efficiency of our industry leading agile aerospace approach, and the improvements in us the life of our constellations. In short, our business model enables us to expand gross margins as we scale the business. As Will highlighted, we are investing behind our teams to meet the increasing demand for our solutions. We grew our headcount to 727 by the end of fiscal 2022, as compared to 507 at the end of fiscal 2021. We began scaling our sales and marketing and software teams in the back half of the year, bringing both teams up over 40% in headcount on a year-over-year basis. We expect to continue our investments in both of these areas going forward. As expected, we made investments to meet all of the administrative and IT responsibilities that accompany our new public company status. We also invested in our Space Systems team, as we are developing our next generation, high resolution and hyperspectral satellite fleets. Global geopolitical and environmental changes have demonstrated the strong demand for these programs. As a quick reminder, expenses for the development of our hyperspectral fleet are offset on a GAAP basis, as the proceeds we received from our partnership with CarbonMapper are recognized as counter-R&D. Adjusted EBITDA loss was $16.7 million for the quarter and $41 million for the full year. In line with our guidance range. capital expenditures for the year including capitalized software development were $14.9 million, or approximately 11% of revenue, also in line with guidance. On the balance sheet, we ended the fourth quarter with $491 million in cash, which we believe provides us sufficient capital to invest behind our growth accelerating initiatives and fund our business through cash flow breakeven. Looking ahead to the first quarter of fiscal 2023, we expect revenue to come in between $38 million and $41 million, which represents continued growth acceleration at the midpoint. We expect non-GAAP gross margin to be between 38% and 45%. And our adjusted EBITDA loss for the first quarter is expected to be between $14 million and $17 million. Finally, we expect capital expenditures to be between $3 million and $4 million, which represents 8% to 9% of revenue. For the fiscal year ending January 31st, 2023, we expect revenue between $170 million and $190 million, representing 30% to 45% year-over-year growth, up from 16% in the year just completed, a significant acceleration as we invest behind key initiatives and grow our market share. We expect our non-GAAP gross margin to be between 43% and 50%, meaningfully higher than the 38% that we achieved in fiscal 2022. Our adjusted EBITDA loss is expected to be between $50 million and $75 million as we continue to scale our global sales organization, increased software investments to accelerate the build out of our Earth Data platform, develop our next generation satellites, as well as make the required investments in G&A to support our operations as a public company. We expect CapEx to be between $20 million and $25 million, approximately 12% to 13% of revenue. Overall, we are compelled by the opportunity for Planet's unique whole earth daily scan, and bundled high resolution data to drive continued growth acceleration this year and beyond. And our outlook for fiscal 2023 reflects a demonstrable milestone in the positive inflection for both revenue growth and gross margin. We believe our overall value proposition is differentiated in the marketplace. And with our continued execution, we have the opportunity to expand the addressable market, capture market share, build upon our recurring subscription revenue base, and achieve a highly profitable long-term margin profile. Operator, that concludes our comments and we can now take questions.
Operator: Thank you. [Operator Instructions] The first question comes from Weston Twigg with Piper Sandler. Please proceed.
Weston Twigg: Hi, thanks for taking my question. I just wanted to follow-up on the Ukraine commentary that you provided which was very helpful, but you mentioned you had gained a couple of customers fairly quickly. I'm just wondering if there are any more potential customers related to more increased awareness of Planet's offerings that could maybe either is embedded in guidance or could add to guidance through the year?
Will Marshall: Yes, certainly. I mean absolutely there are a few more -- the -- I mean, let me back up for a second and say I'm in a situation that is obviously tragic and we're not trying to over -- grab that by any means. But we -- there are some key and important customers that we've seen, it's an increasing demand overall. Some of these have been on our radar screen for some time, but this is just push them to get it now and so we mentioned relatively short sales cycles, in fact, the shortest we've ever seen. And so it gives us some confidence that it's accelerating our trend here. And we talked about the broader secular trends of sustainability and digital transformation, and the need for our data for peace and security, situations like Ukraine only accelerate those trends.
Weston Twigg: Okay, and is the right way to think about that opportunity if that’s we call it the - that these would be non-U.S. based government customers or are there some commercial applications or other types of applications that you're seeing?
Will Marshall: Well, thanks for teeing that up, because it certainly isn't this the government's, because what we're seeing now is a lot of ag companies, for example, are very concerned with what's happening there, and therefore increasing their monitoring. And in fact, a partnership that I had mentioned in our opening remarks, that we also expanded this last quarter was environmental sciences, and that sort of thing we can see and imagine happening, especially because Ukraine is a big producer of wheat and a couple of other commodities that are quite important. And remember, in addition to the government customers, we're also supplying our data to NGOs in the region. And that's important, and they are often paying as well. And that's not really driving for there, but it is also true. And so -- and those are helping with a refugee situation, with emergency supplies. And finally, with our media, who use our data to bring transparency to those events and obviously that's played an important part in the coherence of the West, I believe, it's actually quite an important moment for how satellite data and open source intelligence in general is playing a part in these conflicts and bringing in about an increasing peace and security. So, we feel very good about that strong demand across the board partly accelerated through this.
Weston Twigg: Thank you. That is very helpful. That's all.
Will Marshall: Welcome Weston.
Operator: Thank you, Weston. The next question comes from Ryan Koontz with Needham & Co. Please proceed.
Ryan Koontz: Thanks for the question. Wanted to ask about your various customer segments there, I wonder if you could kind of force rank those by the growth prospects in this coming fiscal year, would be helpful? Thank you.
Will Marshall: Well, let me just talk broadly, and then maybe Ashley can add some specifics, but broadly, we're seeing strong demand across all of those segments. I mean, civil government is driving pretty damn fast. I mentioned a few examples. Let me just mention a couple of more. We renewed and expanded our partnership with New South Wales, a civil government in Australia. We renewed our partnership with Norway. And that is just continuing. In agricultural, I just mentioned that that's a pretty strong and growing segment. We see strong growth there. I mentioned Bayer just a second ago as an expansion there. And let me mention another sort of related one that's agriculture and financing in Rabobank, which is something that was an expansion with VanderSat. So, we have -- we're seeing it across the board and defense and intelligence, as I mentioned, and of course, through the Ukraine situation, we're seeing that and solidify and gain some pretty important customers there. So, yes, we're seeing it across the board. Ashley, anything to add?
Ashley Fieglein Johnson: No, I'd say you've hit on all of it. And obviously, you're going to see higher growth percentages in some of the markets that were newer to us, because obviously you're top of a lower base. But nonetheless, it really is growth across the board. And what's been particularly exciting, I think some of the newer markets that we talked about previously, like finance and insurance really start to gain a lot of traction.
Ryan Koontz: Got it. It helpful.
Will Marshall: That answer your question, Ryan?
Ryan Koontz: Yes, it does. Thank you, Will. Just a follow-up on the Ukraine situation, obviously, there's kind of sales resources, obviously chased opportunities, but are there investments in infrastructure and kind of placement of satellites and capacity that are invested in particular, kind of, incident-based opportunities that take away from other parts of the world within your product?
Will Marshall: Not much taking away from other parts of the world. But we have seen and done some important development in products. For example, we do a global base map every month, but we increase that to have weekly and daily base maps of Ukraine and the region during this time. And we almost -- more than -- it was significantly increased our targeting capacity in the region through some operational improvements there. And so we feel like we've put in some effort there, that it has taken, as I mentioned, in my opening remarks, an significant effort of the team to do that, but it's yielding some important results. We also have forged some collaboration with analytics companies that have been meaningful collaborations that help and assist our customers. Look, we've learned a lot actually overall through this conflict and is enabled us to improve our products substantively in a short period.
Ryan Koontz: Got it. Really helpful. Thanks Will. Thanks Ashley.
Operator: Thank you, Ryan. The next question comes from Mike Latimore with Northland. Please proceed.
Mike Latimore: Great. Thanks. And yeah, congrats on a great year there. To some of the -- NPS score increased, I know you've invested a lot in customer success, but that's kind of a phenomenal change year-over-year, can you maybe just dig into that a little bit more what -- is it truly be more attentive to customers, or is -- maybe a little more of the variables that are driving?
Will Marshall: Well, I think there's a couple of things underneath one is the investments that we've made in software and the second is the investments we've made in customer success. So, in software, everything we're doing is ease-in-use, right? It's making the image quality more consistent, it's easing the capabilities online to enable people to access to data more simply and easily with their systems. And then on the customer success side, we have mainly focused on the big customers who again, of course, get round those initial barriers on the software side, but now we're easing it for everyone else. And similarly on top of success, as we applied that to the smaller clients, it just started to rapidly increase our NPS. It's quite dramatic, we feel that we've come a long way in building those foundations in the last year. Also, similarly, we've been pleased with net retention, we've been pleased with how our investments in software have started to enable these new vertical markets. So, its software and its global customer success, investments, I think have lead this. Ashley anything to add to that?
Ashley Fieglein Johnson: No, I mean, obviously, slide 18, we tried to highlight a lot of these metrics, because I think it should be fun for employees as well, to just see how the work that they're doing, whether that's the software teams building some of these new tools, or the customer success teams that are driving that early time to value for customers, how that has real impact on our business.
Mike Latimore: Great. And then just on guidance for the year, can you provide just a little bit more assessment of what are a couple factors that would get you to the lower or upper end of that game?
Ashley Fieglein Johnson: Yes, so, I talked about this when we met for our Analyst Day in the fall, we come into the year with a significant amount of visibility from the book of business that we have. And then we factor into our guidance, our views on renewal rates, as well as timing of new business. And the biggest swing factor that's going to drive that range is the timing of some of these larger accounts and when we expect them to come in.
Mike Latimore: Got it. Okay. great. Thank you.
Operator: Thank you, Mike. The next question comes from Noah Poponak with Goldman Sachs. Please proceed.
Noah Poponak: Hi, good evening, everybody.
Ashley Fieglein Johnson: Hi.
Will Marshall: Hi.
Noah Poponak: Can -- hi. Actually--
Will Marshall: Yes, we can hear you.
Noah Poponak: Great, great. Actually, maybe just staying there. The 2023 targets you've laid out here are different than what we had previously, kind of, across the board. Maybe you could just help us understand what's changed? I mean, I assume on revenue, it's sort of the high end of the range captures the prior. And you need to be a little bit conservative, and then you have the large things that have -- they can move around a month or two, that can change the year, but then the margins are different, capital plans are different. Maybe you could just kind of give us more detail on where the plan has changed in any major way?
Ashley Fieglein Johnson: Yes, and -- it's a great question and I like to think it's not major changes. But on the revenue side, obviously, last year, there were a couple of unexpected events that -- we were pleased that we still came in above our original forecast for the year, but hadn't anticipated the suspension of the account in Afghanistan and the timing of the EOCL award has been moving throughout the past year -- actually, throughout two years. So, those were a couple of things that the sales team really executed to overcome that last year. And we're -- that impacted, kind of, our ability to take up this year, as we continue to build a book of business. But obviously, we continue to lean into investments in sales and marketing. I feel very good about our investments there, the progress of the team, and our ability to get two or even above the number of ramp reps that we discussed in the fall. Other areas that we're leaning into on investment really are focused around R&D. And this again, is just in response to what we're feeling in the market in terms of our ability to more rapidly penetrate new markets and expand our wallet share in some of the existing markets. So, we are taking up our investments in software, we are investing in our Pelican program, which is the next generation high res as well as some of the improvements across all of our fleets to improve the time to market -- or sorry, the time to value for our customers and increase the analytical capacity to expand into some of the new markets we talked about, like finance and insurance. And then there's been some incremental spend on the on the G&A side, just part of being a couple of public company and some of the costs associated with that. I'm pleased -- we expect G&A as a percentage of revenue to be down year-over-year, but some of those costs disproved being a public company were higher than anticipated. Does that help?
Noah Poponak: It does. And how are you thinking about the out-year revenue numbers that you had previously, because if this year looks similar, but then you're spending more to invest in the business, they would have to imply either one, there's more opportunity in the out years or two, it's costing you more to get there than you thought?
Ashley Fieglein Johnson: I view it as we're pulling forward some of the investments and just starting them sooner, because we see a lot of opportunity. We still feel very good about our growth, obviously, forecasting to double or triple our growth rate year-over-year and anticipate that this continues to be a high growth business into the out years. And we just want to solidify those investments that we believe enable us to really make these markets materialized sooner.
Will Marshall: Can I just add in slightly broad sense, again, like we are increasing our revenue quite a lot this year, from $131 million to $170 million to $190 million range, which we already feel is pretty meaningful doubling or tripling growth rate as we mentioned. And that's because we're seeing this demand across the board, from current customers expanding, new customers in current vertical markets, even new vertical markets, as I mentioned, a couple of examples. And so we're leaning into that demand. I mean, that's in addition to the sort of secular trends that I mentioned, sustainability and so on. And they're just pulling us and we'd be crazy not to invest at this time into some of those things. We're doing that very carefully, based on higher ROI initiatives that lead to revenue growth, but we think it makes sense to given everything that we are feeling. Does that make sense?
Noah Poponak: Absolutely, that makes a lot of sense. I appreciate that. Just last one, I guess, EOCL moving around, what is the latest expected timing? We have heard another one of the other companies say March and it's March 31st at 5:40 P.M. Eastern. Well, what is the latest expectation there for--?
Will Marshall: Well, one great thing is that they passed the budget. So that helps a lot as it turns out. But look obviously we're tracking that. It's an important deal. It is not the only deal that we're working on, but it's an important one and it is -- and we think we are positioned well to compete in that award. We've done some -- we've won some competitive biz in this space before, and -- recently and we feel good going into that. There's uncertainty in the timing that you're highlighting. We don't have control of the government and its budget process. We're feeling pretty good about it to be honest.
Noah Poponak: Is there not a current planned range of months or months that is being articulated [ph]?
Will Marshall: I mean, look, I think it's going to happen within months, so -- but we don't know beyond that.
Noah Poponak: Okay. Thanks a lot. I appreciate it.
Will Marshall: -- for the government itself.
Noah Poponak: Yes, I get it. Thank you. Thanks guys.
Operator: Thank you, Noah. The next question comes from Jeff Van Rhee with Craig-Hallum. Please proceed.
Jeff Van Rhee: Great. Thanks. Will just a couple for me, maybe just how has your thinking changed In terms of your anticipated revenue mix a few years out? If you look at it through the lens of systematic data or image capture versus tasked, what's the pipeline looking like? What are the trends looking like? And how is that changing?
Will Marshall: Well, I'm very proud of that way because it's really -- we have both the top system and that is the high resolution system and the scanning system, which we call medium resolution. And both are unique in that and ways. The scanning system is completely unique. The tasking system is unique in the sense that it's got the fastest revisit of any system. But the biggest value isn't the combination of we are often bundling those products together with something we call tip and cue, which is where the scan is what finds changes, and that enables people to go, okay, I know and look at that change in higher resolution. And the important thing is that all of that is unique to planet so that we are the only ones with the daily scanner. I think a lot of people do get a little bit confused with the landscape of competitors, and I'll just remind everyone that scan, we are producing over 100 times more imagery by area per day, than any other company. I think I estimated it about 10 times all other companies combined. There's rarely a market where someone's got so much differentiated product. It is that scale of coverage that is driving these new vertical markets. That's what's driving agriculture. We wouldn't be doing that. That 25% of the landmass of the Earth, we would be doing that without that scan. That's what's driving forestry, we wouldn't be doing that Norway partnership, take a look at that NASA slide that we put in our deck, I forget which number. But the -- that shows the distribution -- and wide distribution of use of our data across the whole world. Some people say you only need to focus imagery on certain areas. I say that's completely wrong. We see demand across all these different areas and that's what's driving the demand for our data and that's what's driving these new vertical markets. It's hard to predict exactly which ones are going to go the most in those out years. But it's that underlying technology and differentiator that's driving these new markets. And so we feel very bullish about that demand. It's just a question of scaling and execution and that's what we're focused on.
Jeff Van Rhee: So, no real change from your perspective as to which may drive more than the other, steady she goes, is that a summary?
Will Marshall: Yes, I think that's right. We go on track overall.
Jeff Van Rhee: Yes. You've talked a lot about the app side software solution data insights, , really trying to ultimately deliver quicker value to customers. Is there one or two sort of very concrete goals that you're trying to accomplish this coming year that are top of list?
Will Marshall: On the software side -- I mean can you say?
Jeff Van Rhee: Yes, yes.
Will Marshall: Well, look, I think we're scaling the team quite a lot there. Just over 50% growth of that team. We're planning to grow that to just over 50% year-on-year, and we grew at about 40% last year. And look they are focused on two general areas. One is the foundation, as I mentioned, have enabled ease-of-use, which enables adoption, enables new vertical markets and things like this. And then there's capabilities that sit on top of that, image enhancements, data fusion, the work that we're doing with VanderSat, the fact that we're pulling in SAR data into our data fusion products, and that piece enables new markets. That's the same sort of thing that enables insurance, for example. And so those combinations of things is really where we're focusing most of our energy in the software side. Ashley anything to add to that -- to our investments?
Ashley Fieglein Johnson: No, that's exactly right. It comes down to usability broadly defined to drive that time to value or things like enhancing the capacity through improved algorithms on the testing systems. And then also that -- the analytic layer on top that enables us to service these new markets by delivering spreadsheets and time series data as opposed to just raw imagery.
Jeff Van Rhee: Yes. Helpful. Two last for you Ashley, quickly on the sales front, where did you end up in quota reps? And then two, on the pipe composition, you've talked about a few things that are going on in there, but I want to come back to that. And just anything else to call out in the pipe -- pipeline composition that might be different than the prior quarter that you didn't mention?
Ashley Fieglein Johnson: In terms of the pipeline, I'd say that, as I believe I mentioned in the prepared remarks, we're seeing really strong growth in some of these newer markets, which is why we're leaning into some of these software investments that we've talked about, is seeing that growth and pipeline in finance and insurance. We are very, very excited about the market opportunity that that represents and some of these global trends that are going on right now, whether that's wanting to understand supply chain in vessel tracking, or food insecurity leading to people wanting to understand the impact that that can have on commodities markets, energy markets, et cetera. There's just a lot of opportunity that we're seeing in our pipeline, which gives us a lot of confidence there. In terms of sales headcount, as I said, we are on track to come in either at or above the numbers that we talked about in terms of ramp reps for the year. I think we said we want -- our target was 46 ramp reps, and we're on target to hit that or actually come in above as the year progresses.
Jeff Van Rhee: Okay, great. Thank you.
Operator: Thank you, Jeff. [Operator Instructions] The next question comes from Caleb Henry with Quilty Analytics. Please proceed.
Caleb Henry: Hi Will and Ashley, couple of questions. First, I don't know if it was just -- maybe an omission that was deliberate or intentional, but at the -- last during your last quarter, you mentioned three areas, investing in hardware, investing in software, and then M&A. this call talked a lot about software investing, a little bit about hardware, and there hasn't been any discussion of M&A. So, I was just curious for the year ahead, that's still a focus or if you're kind of putting that on the backburner to look at kind of growing internally first?
Will Marshall: It's still a focus. Let me just -- I think in terms of investments, I would phrase it slightly differently. These sales and marketing and software are the biggest two areas and then -- but also continued investment in the space piece of it, especially on our next generation, high resolution systems. But M&A is -- remains the focus. Obviously, it's not something we forecast and so the different way of thinking about it, but we will continue to look for acquisitions where they will accelerate our product or accelerate our business strategy. We feel very good about the VanderSat acquisition already, the one that we introduced last time, and we will continue to look for really good acquisitions like that, that accelerate our time here and accelerate our traction in the market. And we do think that Planet is the natural consolidator here because we are the furthest along. A lot of the small players want to join Planet, we feel we're in a good position to consolidate a little bit. And so we will use that -- obviously we'll use it very, very carefully and thoughtfully and we continue to take a disciplined approach to M&A.
Caleb Henry: Okay. Thank you. During the last call, there was also mention of a SkySat satellite that had thruster issues. I was wondering if you can give an update on the status of that satellite? And then if you've seen any other thruster issues across the SkySat fleet?
Ashley Fieglein Johnson: Yes, I can give an update there. So, no change to the estimate of useful life on that satellite in particular, the team continues to work on it until it is still fully operational and we've had no other issues with other satellites. And I just remind you again, the same thing we said in the last call is the design of the fleet enables us to have this kind of redundancy, so that if one satellite is facing challenges, like we mentioned with the thrusters of that one satellite, it doesn't impact the performance of the fleet or our ability to generate revenue for with our customers.
Will Marshall: Yes, we got redundancy.
Caleb Henry: Okay. And then there's been kind of a lot of discussion, or at least there was a lot of discussion at the Satellite 2022 Show about supply chain issues affecting the industry, curious if Planet is experiencing any of the spacecraft manufacturing? And if so, how you're addressing them?
Will Marshall: Yes, really -- not really. Because it mainly, we addressed that by -- early on, we did just ensure that we have a bit of an inventory of supplies. I mean, remember the scale of numbers that we're talking about building aren't huge by these industry standards for chips and things. And so we stockpile a little bit to make sure that we can continue to manufacture So far, no interruptions of our ability to build our satellites, and ground stations and other things that we construct ourselves. So, no major interrupt. We are, of course, continuing to look at that and diversification of supply chain is something that we focus on to ensure that we don't get caught up in a situation like that. But generally, so far, so good.
Caleb Henry: All right. Those are all my questions. Thank you both.
Ashley Fieglein Johnson: Thank you.
Operator: Thank you, Caleb. The next question comes from John Katsingris with Wedbush. Please proceed.
John Katsingris: Hi, this is John Katsingris on for Dan Ives. Had a quick question, if you could talk a little bit deeper into the deal with Rabobank and how you see that playing out over the next year and coming years? Thank you.
Will Marshall: Yes, so just a very high level that is a an expansion to our VanderSat acquisition. Once again, VanderSat is providing data in analytics on microwave data that is really quite interesting, because it penetrates the soil and you can tell soil moisture and temperature. And what the Rabobank deal is doing is using our data to support credit risk assessment for smallholder farms in developing countries. And so it's sort of an intersection between finance and agriculture. And that's exactly one of the reasons we bought the company because it enables us to expand into new vertical markets, and especially to adjacent vertical markets. Some of you may not have heard of VanderSat and even I was relatively new to it pretty early, and so -- but it was very adjacent to what we needed to do and to expand agriculture and ag finance or ag insurance. And so it was a very natural one for us and that Rabobank is a great example of that as a use case.
John Katsingris: Thank you.
Operator: Thank you, John. There are no additional questions waiting at this time. So, I'll pass the conference to CEO, Will Marshall for closing remarks.
Will Marshall: Well, thanks, everyone. I just want to say in summary that we're seeing quite a lot of market demand, both in the deals that we are particularly working on and in the secular tailwinds of sustainable transformation of the global economy and the digital transformation the global economy and in helping to drive peace and security. So, we're leaning in to drive that dramatic growth acceleration and revenue growth that we have forecast. Recent trends are only accelerating these and our conviction about what Planet is doing. We are building a data subscription business that is addressing critical challenges facing companies and countries around the globe. And I'm incredibly proud of our team and confident in our opportunity and believe that the world really needs Planet and that this is Planet's moment to step up. So, thanks everyone for joining today and I look forward to updating you after Q1.
Operator: That concludes the Planet Labs PBC quarterly earnings call. Thank you for your participation. You may now disconnect your line.